Operator: Hello everyone and welcome to Zoom's Fourth Quarter Fiscal Year 2020 Earnings Release. I would like to remind everyone that this conference is being recorded. At this time, I would like to turn the floor over to Tom McCallum, Head of Investor Relations.
Tom McCallum: Thank you, Matt. Hello, everyone, and welcome to Zoom’s Earnings Webinar for the fourth quarter and full fiscal year 2020. Joining me today will be Zoom’s Founder and CEO, Eric Yuan; and Zoom’s CFO, Kelly Steckelberg. Our earnings press release was issued today after the market closed and may be downloaded from the Investor Relations page on the Zoom.com website. Also, on this page, you’ll be able to find a copy of today’s prepared remarks and a slide deck with financial highlights that, along with our earnings, include a reconciliation of GAAP to non-GAAP financial results. During this call, we will make forward-looking statements about future financial performance and other future events or trends, including guidance. These statements are only predictions that are based on what we believe today, and actual results may differ materially. These forward-looking statements are subject to the risks and other factors that can affect our performance and financial results and which we discuss in detail in our filings with the SEC, including today’s earnings press release and our latest 10-Q. Zoom assumes no obligation to update any forward-looking statements we may make on today’s webinar. And with that, let me turn it over to Eric.
Eric Yuan: Thank you, Tom. Thank you and welcome everyone joining us on the Zoom Video webinar. At Zoom, we strive to empower our customers to accomplish more with our video-first unified communications platform. Our success toward achieving this goal is evident in our results with the fourth quarter capping off a strong year for Zoom, our first year as a public company. Kelly will discuss our Q4 results and outlook in detail in a moment, so let me give you a few key highlights for the full year. For FY20, we delivered a unique combination of high revenue, profitability and a free cash flow growth. Revenue grew 88% to $623 million and we exited Q4 at an annualized run rate of $0.75 billion. We achieved non-GAAP operating margin of 14.2%, up over 900 basis points year-over-year. We generated free cash flow of $114 million for the full year, up 397% year-over-year. This is our 4th straight year of positive free cash flow and non-GAAP operating income. Our customer metrics were also impressive for FY20, including 86% growth year-over-year for customers with $100,000 of trailing twelve months revenue. We also recently celebrated the one year anniversary of the launch of Zoom Phone, a key component of the Zoom unified communications platform that has significantly expanded our TAM. Zoom Phone had an incredible start and we are excited about the continued momentum of the offering. Here are just a few of the key metrics to demonstrate some of the Zoom Phone accomplishments we had this past year: First, we are grateful to have existing customers who trust us and new customers who have looked to Zoom Phone to resolve their telephone challenges. These factors enabled us to close Zoom Phone deals with approximately 2,900 customers who have more than 10 employees. Second, we exited the year with a run rate of 230 million Zoom Phone minutes. Zoom Phone is a great opportunity to expand our footprint with existing customers and drive new logos for companies looking to modernize away from legacy PBX systems. Now let me discuss a few of our happy customers. We are thrilled to welcome Johnson and Johnson, the world’s largest and most broadly-based health care company, to the Zoom family. We are grateful that Johnson and Johnson chose Zoom to help modernize and consolidate on a unified communications platform with approximately 60,000 Zoom meeting users. As a global company they wanted a solution that would enable them to communicate reliably around the world including growing regions in Asia. Thank you Johnson and Johnson. I also want to thank VMware for trusting Zoom. VMware has been providing all employees, globally, access to Zoom meetings and digital workspace, and will soon utilize a large deployment of Zoom Phone. The easy, single sign-on access to Zoom from any device is enabled to leverage the VMware Workspace ONE platform, allowing employees to access all the applications they need from their device of choice while ensuring security and compliance. Together with Zoom, VMware Workspace ONE helps businesses support their distributed workforces by enabling a remote-first culture. Thank you VMware. Moving to a few recent business highlights: First, in the 2020 Gartner Peer Insights Customers’ Choice Award for Meeting Solutions, Zoom received the top overall rating in the “Voice of the Customer” category. Zoom was the only company to achieve Customers’ Choice Awards for meeting solutions serving all listed regions, company sizes, and industry verticals. Second, Okta published their annual Businesses @ Work 2020 Report, a premier study of how organizations and people are using technology in the enterprise. The report highlighted Zoom as a preferred video application, posting 876% growth in the Okta network over the past 3 years! Zoom is the only company to earn the distinction of being both the fastest growing and most popular app. Third, we announced an expansion of our Global Channel Partner Program to add new partnerships with industry-leading Master Agents for Zoom Phone. Fourth, Caring for our community is a core value for Zoom and we are conscious of our impact on the environment. We proudly announced our top ten Green Leader customers, who were estimated to avoid the most carbon dioxide emissions by replacing in-person meetings with Zoom video meetings. In a 90 day period, the top ten customers were estimated to have avoided the equivalent of the annual carbon dioxide emissions of 149,000 cars. Before turning the webinar over to Kelly, I’d also like to address the global impact we are seeing from the coronavirus. While this tragic situation is very fluid, Zoom is focused on using our resources to help alleviate some of the disruption and communication challenges as an alternative to in-person meetings for our employees, customers and community I am happy to report that all of our employees in the affected areas are healthy. Given the recent emergence and growing number of coronavirus cases in the United States, we have directed our Headquarter employees to work from home, unless there is a business-critical need for them to be in the office. We’re taking this step out of abundance of caution. Zoom is doing everything we can, especially for global educational institutions, to provide resources and support our customers and those navigating the coronavirus outbreak, including: We are proactively monitoring capacity globally to ensure maximum reliability amid usage increases. In China, we have removed the 40 minute limit on free meetings. And we are providing informational sessions and on-demand resources so anyone can learn how to use the Zoom platform with ease. With the reliability of our high quality video platform, we have seen a large increase in the number of free users, meeting minutes and new video use cases. For instance, in China, healthcare workers under stressful conditions in affected areas are able to connect live on video with therapists. In closing, I’d like to thank the over 2,500 Zoom employees who are building Zoom into a great company through caring for our customers, community, company, teammates, and themselves. As we remain focused on creating a culture built around happiness and caring, I know we will position Zoom for future success. With that, let me turn things over to Kelly.
Kelly Steckelberg: Thank you, Eric, and hello everyone. Let me start by reviewing our financial results for Q4, then discussing our outlook for Q1 and the full year of FY21. As Eric said, Q4 was a strong end to the year. We delivered another amazing quarter with continued traction for all offerings across all major geographies. For Q4 specifically, total revenue grew 78% year-over-year, to $188 million. This top line result exceeded the high-end of our guidance range by $12 million due to our strong sales execution in the quarter. We delivered our Zoom Meetings, Rooms and Phone solutions to new accounts while driving major expansions with existing customers. For the quarter, new customers accounted for approximately 59% of our year-over-year growth in subscription revenue while the remaining 41% was due to additional purchases from existing customers. Now, let me share some of the key customer metrics for Q4: We added approximately 7,800 customers with more than 10 employees quarter-over-quarter and exited Q4 with 81,900 customers. This is an increase of 31,100 new customers, or 61% year-over-year. Customers with more than 10 employees represented approximately 80% of revenue in FY20, compared to approximately 78% in the prior fiscal year. Our continued expansion in the up-market resulted in 641 customers with more than $100,000 in trailing twelve months revenue, up 86% year-over-year. This is an increase of 95 customers, a record number of adds in a quarter. The high level of satisfaction and trust customers have in Zoom was evident in our net dollar expansion rate that was over 130% for the seventh consecutive quarter and our Net Promoter Score which remained above 70 in Q4. Next, international expansion outpaced the high rate of growth in Americas revenue. In Q4, our combined APAC and EMEA revenue grew 84% year-over-year and represented approximately 20% of revenue. Revenue from the Americas was up 77% year-over-year and represented approximately 80% of revenue. International expansion will continue to be one of our key growth initiatives in FY21 and beyond. Now turning to profitability. Once again, we were net income profitable from both GAAP and non-GAAP perspectives, but I will focus on our non-GAAP results, which exclude stock-based compensation expense and related share-based equity taxes. Non-GAAP gross margin in the fourth quarter was 84.2%, compared to 82.1% in Q4 last year and 82.9% last quarter. This result was driven by the strong sales execution in the quarter and lower seasonal audio usage in Q4 due to the extended holiday season. Due to the coronavirus, we have already seen significant usage of our platform and accordingly we will expand our capacity to meet the increased demands of both paid and free users. For FY21, we believe our gross margins will be at the lower end of our long term target of 80% to 82%. R&D expense in Q4 was approximately $16 million, up 60% year-over-year. As a percent of total revenue, R&D was 9%, which was slightly lower than Q4 last year. In FY21, we plan to continue investing in our highly efficient R&D model to drive innovation through adding engineering talent, especially in the first half of the year. Sales and marketing expense for Q4 was $84 million. This reflects an increase of 57% or $30 million dollars over last year with investments to drive further growth. As a percentage of total revenue, sales and marketing was 45%, lower than Q4 last year due to continued efficiency gains in marketing combined with slightly slower than expected sales hiring and the higher than forecasted revenue. We look to increase the pace of hiring in the up-market and internationally in FY21 with additional resources being added to recruiting. G&A expense in Q4 was $20 million, up 49% on a year-over-year basis. It represented 11% of total revenue, benefiting from efficiencies as we scale our administrative functions and lower our accrual for telco taxes. Non-GAAP operating income was $38 million, translating to a 20.4% non-GAAP operating margin for the fourth quarter. This compares to Q4 last year’s result of $10 million and 9.3% margin. The higher revenue plus expense efficiencies across all areas were the main drivers of this additional profit. Non-GAAP earnings per share in Q4 was $0.15, on approximately 293 million of non-GAAP, weighted average shares outstanding and adjusting for undistributed earnings. This result is $0.08 cents higher than our guidance and $0.11 cents higher than Q4 of last year. Turning to the balance sheet. Deferred revenue at the end of the quarter was $231 million, up 83% year-over-year. Looking at both our billed and unbilled contracts, our remaining performance obligations, or RPO, totaled approximately $604 million, up 94% from $312 million last year. We expect to recognize approximately 62% or $375 million of the total RPO as revenue over the next 12 months as compared to 67% or $208 million in Q4 last year. This is a result of the mix shift between current RPO which grew 81% year-over-year, while non-current RPO grew 120% year-over-year as we closed longer term deals. The RPO results also reflect some expected seasonality benefits in Q4 due to our semi-annual quotas in the up-market segment of our business. We ended Q4 with approximately $855 million in cash, cash equivalents and marketable securities, excluding restricted cash. In Q4, operating cash flow was $37 million, up from $16 million or 129% year-over-year. Free cash flow was $27 million, up from $6 million or 368% year-over-year. As we previously discussed, these results reflect the use of cash for the purchase of shares via the Employee Stock Purchase Plan. Starting in FY21, we expect the cadence of benefits from contributions to the ESPP to occur in Q1 and Q3 and net outflows from purchases to occur in Q2 and Q4. Now turning to guidance, we are pleased to provide a strong outlook for the full year FY21 based on our view of the current business environment, our ability to gain market share and with the momentum we built in FY20. For the full year of FY21, we expect revenue to be in the range of $905 million to $915 million, which would be approximately 45% to 47% year-over-year growth. Non-GAAP operating income is expected to be in the range of $110 million to $120 million. We expect to deliver non-GAAP earnings per share of $0.42 to $0.45 for the full year FY21, based on approximately 301 million shares outstanding. For the first quarter, we expect revenue in the range of $199 million to $201 million. We expect non-GAAP operating income to be in the range of $25 million to $27 million. Our outlook for non-GAAP earnings per share is $0.10 based on approximately 297 million shares outstanding. In closing, we executed very well and are proud of the results we delivered in our first year as a public company. Our high growth outlook at this scale is truly unique. Given our ROI-focused business model, we continue to deliver a rare combination of strong profitability and free cash flow margins along with our top line growth. I would also like to thank the entire Zoom team for their hard work this past year and look forward to achieving additional market share gains and growth as we deliver happiness to our customers with our unified communications platform. With that, let's open it up for questions. If you have not yet enabled your video, please do so now for the interactive portion of this meeting. Matt, please queue-up our first question.
Operator: Our first question is from Nikolay Beliov from Bank of America Merrill Lynch.
Nikolay Beliov: Hi, thanks for taking my questions and congratulations on solid results here. And I just wanted to thank a Zoom for playing an important role in dealing with the tragedy with this virus. My first question is for Eric. This viral situation -- this virus tragedy, do you feel like it's elevating the customer conversations? And it's leading to better appreciation of your business model. Do you think like maybe a permanent elevation or spending intentions or it's a temporary thing. And question for you, Kelly, did you see impact from the virus in Q4 results maybe in billings and RPO and how did you incorporate any potential positive impact on the business in the guidance?
Eric Yuan: Nikolay, that's good question. First of all, I liked your voice and background, where are you now?
Nikolay Beliov: You don't want to know where I'm now.
Eric Yuan: I think a first of all, I don't think that's temporary. The reason why is, I mean, in terms of experience about, they using the video conference like Zoom. Look at a company as a sitting commodity like InVision, Zapier, or Gitlab was great companies, they do not have a single physical office. You really understand, how do we enable remote workers to work together? However, if you look at conference out, a part of the ward or maybe you know, other side of California, quite often we needed help. We knew in the future of a communication union of the enable video and as we needed to explain that. But given this coronavirus, I think the over the night almost everybody read and understand, they needed a tool like this. This will dramatically change the landscape. I should believe in the future, everyone will take on to video for the remote workers for the collaboration.
Kelly Steckelberg: In terms of our results in Slide 4, Q4, we did not see any impact directly related to coronavirus and as a reminder we have definitely seen an up tick in usage. But a lot of that is on the free side. So it's very early to tell whether or not that's going to convert long-term into paying customers. As we mentioned, we are seeing impact and if continue to build capacity to ensure that we can support this increased usage. So we are seeing impact on our gross margins, which is why we're guiding you towards the lower end of our range for next year.
Eric Yuan: By the way, I ever mentioned this to some of my friends. If I start over the company, well, I'm not going to have a single physical office. A lot of people as I mentioned, are you crazy? Now realize that's reality now.
Operator: Next question is from Bhavan Suri with William Blair.
Bhavan Suri: Hey guys, thanks for taking my question. I want to touch a little bit on the vertical sales effort. You've talked a lot, Eric, about sort of the adoption of Zoom or taking hold on a vertical by vertical basis. Just strategies, you think about the verticals strategy on the sales force that go to market and then the applications you are integrating. How do you think about that given sort of the increasing presence enterprise?
Eric Yuan: Yes. That's a good question. So when we started, we do not know which vertical market we are going to focus on. And fortunately, we saw quite a few high end customers who deployed Zoom. Stanford started its group was our first customer. And that's why our first vertical market is high-ed. And several years ago, we found a great use case which is healthcare customers because they are looking for a solution because we target kind of medicine, [indiscernible] because there's no good solution and here they found Zoom and we also keep our compliance, the product is first and its Epic, I think that's very, very important vertical market. Also at the same time, we also, last year we got a federal certificate. We also expanded into the public sector market by focusing on enterprise, healthcare, public sectors and also I think later last year we also expanded into the financial institutions. I think all of those vertical market, use case is a little bit different, but our functionality, our feature and flexibility and truly amazing.
Bhavan Suri: That's helpful. And I wanted to touch a little bit more sort of then strategically, if we could take a step back. We've talked a lot about convergence and you've discussed this in the past, you've discussed in calls, but it's convergence, video, voice, you've talked about that. We know collaboration is a piece and again, your partner there. But as you think about this idea of remote, disconnected people, all of it ties into collaboration. How do we communicate, how do we collaborate in word documents, PowerPoints, whatever you're using and you think about Zoom play safe video sure there is Zoom Phone. But if I have to fast forward, do you think ultimately that collaboration space converges? And where'd you guys end up sitting in terms of the content piece? I'd love to understand how you think about the content part of the collaboration piece not video and voice content obviously, but we're talking about the data piece. How do you think about that? And I know you're going to say partnership but I'm talking 10 years out as opposed to say the near term.
Eric Yuan: I think for the foreseeable future and video and voice, unified communications, that's a huge market, right, for this billion dollars market. I think we are going to be very busy like especially for enterprise migrate to the cloud, video voice will be converted into web service. We are going to laser focus on video and voice. But, at the same time , we also build a platform, our marketplace there are already over 200 applications. We like to integrate with other collaboration vendors with focusing on the content, like Dropbox and Box, like Okat or Max Soft. I think that's the way. While customer, they are looking for the best of breed of service, right, with intercoms video and voice, I think that's our game.
Operator: Our next question is from Sterling Auty with JPMorgan.
Sterling Auty: So with the surging free users, are you actually developing programs that will work on conversion of these potentially temporary free users into permanent paid users?
Eric Yuan: Yes. That's a good question. First of all, we all feel sorry about those who have suffered from coronavirus in China and all over the world. We're super grateful to those doctors for having the war to deal with coronavirus. I think that's why, we really focus on how to have those companies, those workers to connect, because in this critical time, I want to say empathy, humanity and support for each other is more important, then revenue, then growth. At this moment, we are laser focused on offering the best of service to have the people in the world. We even never thought about it, monetize because that's not our focus. That's not important. If you truly care about the customers, truly deliver value to the word, I think all of those will follow in the future.
Sterling Auty: Got it. And then one follow-up on Zoom Phone. You talked about almost 3000 Zoom Phone customers. Where are you finding the sweet spot in terms of the size of the companies that are really gravitating towards, moving over to Zoom Phone. You mentioned VMware in your prepared remarks, but is there a sweet spot for where Zoom Phone is heading?
Eric Yuan: I think that in my view, I feel everybody is in the sweet spot now. So because you look at our installed base, from SMB all the way optical unified customers, we may talk about Zoom phone, after they test that they say, wow, that's exactly what they are looking for. We see the greater costumer adoption from SAP customer, Zoom Phone VMR as well because experience is very different, right? If you look at all other phone systems, no matter on-prem phone system or cloud-based phone system. Ultimately, you are just kind of make a phone call. While studying, I call your phone number, we come when we talk. We really cannot go ahead and say ours. With Zoom Phone, it is very different. One more click I can see you, I can share the content. That's a totally different architecture. That's why if you look at our install base after tests, our solutions really like our experience. No any other solutions can match that experience.
Operator: Our next question comes from Meta Marshall with Morgan Stanley.
Kelly Steckelberg: Matt, she is on mute still.
Operator: Hey Meta.
Meta Marshall: You put out some announcements over the past couple of days on additional geographies as far as Zoom phone, just wanted to see whether we should consider you guys covered in the major regions you'd like to be deployed in as far as Zoom phone reach for now. And then, maybe Kelly you address kind of the, the growth margin impacts should be mostly from kind of capacity increases from some of the free usage right now. But should we consider some of that gross margin impact from Zoom Phone adoption as well as? That's it for me.Thanks.
Kelly Steckelberg: So yes, we're super excited that we added 11 new countries into GA for Zoom Phone taking us to 18 total countries that were GA and additional 25 in beta. So we're getting close to, I think the coverage that the goal is to be in close to 50 countries by the end of this year, which is really what we're striving for. And a couple of key markets like India and China, we're still continuing to work on. And then in terms of the gross margin impact, no, we really haven't seen impact from Zoom Phone as we talked about. It's still small relative to the overall usage that it's not having an impact on the gross margins. It's really coming from the increase that we're seeing globally in terms of -- in the last month or so related mostly to coronavirus.
Operator: Our next question is from Heather Bellini with Goldman Sachs.
Heather Bellini: I just wanted to follow up on Zoom Phone. I mean in a really short period of time, you've obviously had some great success with that rollout. Eric, knowing that you're constantly listening to customer feedback, what are the top R&D priorities for Zoom Phone, if you look ahead over the next 12 months? And also do you see any benefit on the horizon by Avaya's decision to partner with Ring Central instead of kind of going down their own path. So as those customers look to migrate, do you see an opportunity there? Thank you so much.
Eric Yuan: Heather, thank you. I know you are probably traveling. So next time we can see you and that's a good question. So in terms of Zoom Phone effort, we don't assume that's brand new application possibly maybe with a platform. The first application that is built upon a platform is to do conference. The second obligation is a Zoom Phone. So, many of us share lots of the components, when we build the Zoom Phone system, having said that, there are some features missing and also international coverage as well. We are making very, very good progress as Kelly just shared. In terms of this year, we are adding a little bit more features like recently we can also SMS, the beta, right? And also add a lot of features. All those features, I do know things, I could assess, really just a partition level of work. The harder part already done, right? That's why we have a high confidence we can deliver a much better solution than any of our potential competitors. So regarding the Avaya-Ring Center deal, I think from our perspective, we really focus on our installed base focus on video and voice convergence. That's the kind of our region. And today looking at some of the customer take VMware, right? They deployed on-premise solutions and some other costumers also deployed maybe the on-prem Avaya solutions. When they evaluate which club has PBX solution to go. If they do the test, they will now that. Zoom experience is better. It's better than any other club as PBX vendors, we have high confidence as long as customers try our solutions. That's a solution to go.
Operator: Our next question is Brad Zelnick with Credit Suisse. Brad, you are unmuted.
Brad Zelnick: I don't know if you guys can see me, but it was nice to see you. Fantastic, great. So, congrats on all the success thus far with phone. We've seen some of your competitors really leverage the channel to drive success and I was wondering how should we think about your willingness to do the same?
Kelly Steckelberg: Yes. So we're really excited to announce that we just yesterday I guess launched our master agent program for phones specifically and we've signed up two big partners in Mphasis and Avant. And the more formal launch will be next week at the channel conference. Yes. Thank you.
Brad Zelnick: Great. Thank you, Kelly. And maybe just to follow up on that expansion, it remains above 130%, but based on our math, it would seem to be the lowest level of expansion that we've seen thus far. How much of the deceleration is due to large lands and how should we think about expansion rates from here?
Kelly Steckelberg: So there's a couple of things that contribute to our net dollar expansion rate. It's land and expand as you touched on as well as Zoom Phone. So we really see great opportunity for that number to be influenced by Zoom Phone as well as land-and-expand is a critical part. I mean it does vary quarter-over-quarter depending as you just indicated on the size of the initial deals. But we're confident for the long term that it'll stay at about 130.
Operator: Our next question is from Tom Roderick with Stifel.
Tom Roderick: Hi everyone. Thank you for having me on. Thanks for taking my question. So Eric, apologize, I jumped over and I think you were talking about this right as I jumped over, but obviously your customers are very excited to be able to use Zoom during a challenging time. At the same time, obviously you have a pretty nice sized workforce over there in China as well. And I'd love to hear just a little bit more about, how are you're able to still communicate what your procedures are with your R&D staff? And as you talk about building up more R&D dollars in the year 2020, help us understand where geographically you're thinking about that in spite of all of the challenges we're facing globally right now with the coronavirus taking place. Thank you.
Eric Yuan: Yes. Good question. So if you look at our R&D resources, the core R&D here, our Headquarter in San Jose. And we also have a team in China and of course, I met at a WebEx engineer team before. I'm very familiar with that process, how to manage the offshore team. And inside of that actually we are using Zoom Video every day. So we need every engineer's anytime, anywhere that can work for sure have a secured process. And we are already familiar with remote working, practice for long, long time. During the coronavirus, a lot of other business they have to work in a home. I think quite often we got to -- really don't know how to do that or we know how. That's why, over the past several weeks, most of them already back to work. Over the past several weeks when they went back to home to work, there's no any impact whatsoever because they already know how to do that. And here we also did not see any impact. We're still working together with our team for sure we all know how to use a Zoom. I think the impact to us is a very minimum. And for us, this year, I know next two years I think we're going to hire more and more resources here. For the new services, a lot of artificial intelligence features and the core capabilities, of course, the core IP R&D is still developer here because that's why we further expand our R&D team here in our headquarter this year and also positive for the future as well.
Tom Roderick: Great. And a quick follow-up for you, Eric, just thinking about, you've been doing this a long time, you've seen a number of these sort of disruptive moments in tech. This is clearly a disruptive moment in the global economy. When you think about your conversations with your biggest customers out there, how were they talking about the way that they want to expand with their key partners over the next one or two or three years? And do you think of this as an opportunity to really sort of shift some of those into a big digital transformation as they sort of reevaluate how they spend their money coming out of the back end of this whole situation?
Eric Yuan: Yes. That's a good question. So by the way, today we also have our Annual Analyst meetings as well. And in addition to talking with our customers, I think [indiscernible], I think this is a very critical moment. So meaning, I think the more the more benefits, we are going to leverage the video conferencing service like Zoom, it drive our productivity, no matter where those employees are, they still want to get a job done. However, when it comes from video conferencing, the key is that you have to make it work anytime, anywhere with any device. Otherwise they're not going to use it. And because of this coronavirus, a lot of businesses have removed employees, after they tried Zoom first time, a lot of users first time try Zoom, they say, wow, it's just works. I think because of that, I think this is a very exciting time in terms of how to further drive the video conferencing adoption. I think this is very sustainable.
Operator: Our next question is from Pat Walravens with JMP.
Pat Walravens: So Eric, I mean, looking forward to having the COVID-19 result and when we get there, I was wondering if you could help us think a little bit about what the long-term opportunity is like for Zoom in China. And maybe just to put a couple ideas there. How might pricing be different? How might the competition be different and how might user behavior be different?
Eric Yuan: Yes, that's good question. So you're looking at our revenue, also the revenue from Asia and China included is relatively small, right? It's kind of still driven by North America and Europe and in Japan, Australia, I think because of this coronavirus, I think China realized, I think they didn't have more tools, not only Zoom, more and more the B2B tools to drive their productivity, used to be like seeing 10 people, right? You do not need to deploy HR tools, but now you really cannot have those 10 people anymore, they all went back to home. I think this will further boost the B2B SaaS application adoption in China, I have decided that video conferencing is a tool they all understand. We also have some local competitors, but the market is there, potential is big and also we're in the process of -- never going to source several options. To say which option is better because over the past several years, we really wanted to go to China market. However, I do not think the time is right. For now, I think its coming right, we needed to make sure we have a sustainable strategy to expand into China to have the local benefits there.
Pat Walravens: And if I could ask, since we're all starting to have to work from home remotely a lot more, you had like one or two key pointers you would give us, how to do it effectively? Does the camera have to be on all the time?
Eric Yuan: So first of all, I do not realize you are at home. I did not realize.
Kelly Steckelberg: Yes. That's the first one, is get a virtual background. That helps a lot.
Eric Yuan: I think that's pretty much actually, in terms of we have all the features built-in, right? And when you just clear on some features, you will see that like, I think sample, my favorite feature is a touch up my appearance. And also to see which background, a lot of features are built-in. And it was a small, like a breakout session as well. And a lot of which are to built-in the past several years. I think, finally, our customer realized, it's time to clear on all the features, we will build further.
Operator: Our next question is from Ryan MacWilliams with Stephens. Ryan, you are unmuted.
Ryan MacWilliams: So how do you see the market trending for cloud voice pricing going forward? Is there a temptation on your end to reduce pricing for Zoom Phone? Especially given the fact some of your competitors have started offering their own video capabilities for free?
Kelly Steckelberg: Well, we believe that we were already very competitively priced from both Zoom Phone and Zoom Meetings perspective against the market. And we haven't seen price pressure beyond kind of the normal discounting that we typically do. And we feel really good about where we're sitting. The way that we historically brought value to our customers is by adding more and more features to both meetings and phone. And we will continue to do that approach across all of our product lines.
Eric Yuan: So in terms of -- a comment about some of the vendors offering the free video conferencing. I can tell you, it's very easy. It's extremely easy to build a very, very basic video conferencing solution with some open source. But, however, to have a global scale, very secure, reliable, five minute availability, it just works. It's extremely hard, right? I'm always already in this real-time collaboration base, almost 23 years. Today, you look at where we are now, there is still a lot of missing that are not done yet. I think free, no, I mean your customer, they want to use that service.
Ryan MacWilliams: Great. I just kind of to that point, with 230 million Zoom Phone voice minutes and video minutes also expanding with a Zoom Phone or zoom customer growth, how do you see the AI opportunity for Zoom to add features around transcription around this influx of usage?
Eric Yuan: So voice on a video is a same platform, but [indiscernible] quite often if you -- which already shared the same the platform encryption, right? We have encryption and process we are working on what a customer key, the improvements that based on the key offered by customers, but sometimes, voice is a little bit different. With Zoom we can offer very secured service. However, if you want to dial someone else, the several number or the PSV network, will go to the traditional PSV network as I've seen it is really hard because it's completely out of our control.
Operator: Our next question is from Zane Chrane with Bernstein. Zane, you're unmuted. We will come back to Zane. The next question is from Will Power with Baird.
Will Power: I guess first question is, as we think about the coronavirus impacts, any color you can provide in terms of the geographic spread of traffic, how much of the traffic increase was in China versus in other geographies. And I'd love to hear anything more on some of the more unique use cases you've seen.
Eric Yuan: I'm going to start. Feel free to tell me, Kelly. I think over the past several weeks, first of all, we see the very, very big job from users in China. And the good news, we have a very flexible, the banking architecture. We can auto scale our servers. That's why, within a several days and we added a lot of capacity. And really focus on the product, especially the customer there are very, very happy. And also afterwards you see like we see the usage, not the one with China, for Vietnam or Singapore or Japan all follow over the past several weeks. Essentially I think look at APAC almost the every country uses a lot. And last week, we see the uses from Europe and here as well, it's kind of take the print to see the use this job.
Kelly Steckelberg: I think in terms of use cases we talked about the doctors getting therapy. We also of course see lots of educational institutions that have stopped either study abroad programs or having all of their students study from home as well as we've seen a few of our customers here that have already moved to -- requiring their employees to work from home as well. And so we're seeing an increase in that sense.
Will Power: In virtual events too.
Kelly Steckelberg: Yes. A lot of virtual events.
Eric Yuan: Why use case service not only we do offer the video, we also offer the video web in a platform. It's pretty powerful. And the sitting that we will have -- they have a -- since there are doctors, for a long time depression, anxiety and the [indiscernible] university number one in China also with some other psychologist, they use Zoom and to treat the doctors there, as it’s a good use case and it really made those doctors in Wuhan very, very happy.
Will Power: Okay. Then if I could just get one question in on Zoom Phone, as you look across the broader unified communication space. There seems to be increased interest with bundling contact center. I wonder if you look at your 2,900 customers, any comments as to how many you're taking contact center, how do you think about the partnership model there long-term versus having your platform.
Eric Yuan: Yes. You're right on. So we focused on our call video and voice capability in terms of cognitive center, I think it's very different market from our perspective. However, from a costumer perspective they would like to have [indiscernible] integration. That's why we are partner with Five9 and also Twilio and Genesys, specifically about Five9. Steve Rowe is great leader, really it's an collaboration, the two team worked together very well and like Zoom we also use our video conference -- Zoom phone system. We also deploy Five9 and the solution works very well. I think a huge opportunity between Zoom and Five9. So ultimately we wanted to partner with other contact centers solutions.
Operator: Next question we are going back to Zane Chrane with Bernstein.
Zane Chrane: So I wanted to dig into the non-business customers a little bit. I know that only about 20% of your revenue at the time of IPO, but it's important group in some ways just because it had a much higher annualized churn rate than I think your business customers typically do. Can you give us a sense of what portion of the revenue non-business customers comprise now and what that should look like over the next couple of years?
Kelly Steckelberg: Yes. It's actually been really steady at that same 20% of revenue for FY20. I think over time as we continue to focus more and more on the up market, we'll see that overall percentage decrease, but it's been pretty steady and consistent over the last year.
Zane Chrane: And just a follow-up to that, have the renewal rates, the contract renewal rates either on a customer or dollar basis changed over the last year? I know you've talked about the net expansion rate, before including upsell and seat expansion, how should we think about the trend for just contract renewals?
Kelly Steckelberg: Yes. We haven't seen any trade changes. It's been pretty consistent. It's holding pretty steady.
Operator: Our next question comes from Alex Zukin with RBC.
Alex Zukin: Hey guys, thanks for taking my question. Congratulations on another very successful quarter. Maybe first for Eric, how important, particularly in the larger deal opportunities as you think about the future of work and the compression of that adoption curve given something like the coronavirus, how important from a go-to-market perspective and some of those larger deals, are your relationships with partners like Slack, like Dropbox that kind of enable your customers to create an entire experience around this area?
Eric Yuan: Yes. That's good question. I think, first of all, I'd like to take a step back into service. What's happening in part of that decision-making process for lot of invest? Because over the term of 10 or 20 years, nobody say, we couldn't find it. Today is very different. Almost the 50% of workforce is today here, I mean, annuals, right? And they've grown up along with a smartphone. And that's why, if you do not like your service, no matter what, they are not going to use your service. This is their habit, right? This is their experience. Having said that, I think land and expand influenced the by the bottom up users extremely critical, right? Quite often they already use the Dropbox. Already use a Slack. And they want to find out the best way to service, like we do in voice, also deploy Zoom. That's why we have very, very tight integration with Dropbox. Within Dropbox interface, you can log to Zoom. With the Slack, it also got to Zoom. I think that's a trend. Basically the service will drive the adoption, will truly deliver happiness to land customers.
Alex Zukin: That's great. And then maybe Kelly one for you, if I think about current RPO and RPO, I think, we're looking at the current RPO bookings of 58%, compare that roughly to the 46% guide for the revenue growth next year. Help us bridge that a little bit. And then in the script you also mentioned some seasonality benefits to RPO from semi-annual quotas in kind of the up market segment. Can you maybe unpack that and explain that a little bit?
Kelly Steckelberg: Yes. So just a quick reminder that RPO is not absolute directional metric for us due to -- there's a significant percentage of our customers who both buy and pay monthly so it doesn't correlate the way you would expect it to run other enterprise customers. And in terms of the seasonality, if you remember when we talked about this in Q3, we saw some seasonality in terms of it being somewhat flatter Q2 to Q3 and now we're seeing that benefit in Q4 due to the fact that our up market teams are on six months plans. And so what we see is, as it gets to the end of their six month plans and they have the opportunity obviously to overachieve and then go into accelerators that we see a typical linearity toward or seasonality towards the back half of their six month plan. And that's what you're seeing in some of that increase for the RPO for Q4.
Operator: Our next question is from Phil Winslow with Wells Fargo. Phil, I unmuted you. He just joined back in and we'll come back to you. Phil. Next question is from Ryan Koontz with Rosenblatt. Ryan, you are unmuted.
Kelly Steckelberg: Ryan, do you have your phone on mute there?
Ryan Koontz: So, to look at your videos, seats, you're winning. Can you estimate the percentage that are defections from other platforms versus greenfield wins. And then in the broader picture, are you seeing changes in the competitive landscape and a given your increasing market leadership there?
Eric Yuan: I think if you look at alternative quarter, over the past several years. And Zoom is becoming the most of popular video conferencing application. Look at our customers, quite often, especially for large enterprise customers or medium size customers, we already deploy other solutions, but they did not use that we are open. And it's also the different experience. It's more like a web conferencing -- only conferencing and a Zoom is a true cloud -- video first solution. And that's why they all want to switch to Zoom. It's not like from web solution, other solution, I believe this is a totally different service. We are in a different category because more like a Tesla car and the other care, they are all cars, they are totally separated. They have been a category. That's why I think in from that perspective, I would say every customer, no matter which other solutions they are using today as a greenfield. That's our experienced.
Operator: We're going to back to Phil Winslow. So our next question is from Phil Winslow with Wells Fargo.
Phil Winslow: Just want to focus in on Zoom Phone. Obviously you guys continue to do great traction there. And I remember when you first launched it, you said, hey, wouldn't take a while to get some of these bigger just your customer wins and knock down. But it seems like you've done that. If we think about just sort of the functionality -- of the offering, is this for the 80(20) rule, we've got 80% of what you need to actually knock down some of these big accounts, and the 20% is just for maybe like those say like a small percentage of the base. Maybe help us think about sort of where the functionality is right now, how, how that affects or the cusp, the types of customers you can address and so where you see this going forward.
Eric Yuan: Yes. So Phil, that's a good question. So maybe I'd like to share with you a little bit analogy about what's going on in the smartphone industry. The first time I saw the Blackberry I knew that all the feature phone that era is over, all of those feature phone died because the Blackberry does offer something new in other feature phone can offer, which is email. I fell in love with Blackberry for many, many years until I saw the iPhone. I saw the iPhone. I know, Blackberry is over because the reason why they have a marketplace, all kinds of applications, even if the iPhone doesn't offer some of the functionalities that were already available in Blackberry, that's a trend in the feature phone marketplace. Something similar is happening in the club, in PBX market. On the other hand, you are so right. We lack off some of the features, the how customer look at our product first, look at the unified collaborating express. And with one more click they can screen share and you can, obligated to video call, they say, wow, that's a future. That is something so critical into most of other minor features, they knew we can add it. That's the reason why iPhone today versus the Blackberry. I think that's the same story now.
Operator: Yes. Our next and final question is from Jonathan Kees with Summit Insights Group.
Jonathan Kees: Great. Well, glad I made it in. Thank you for picking my questions and I'll add my kudos to your strong numbers. And yes, and also commend you for the humanitarian efforts you're making there. My questions are, I guess if you can update us in terms of your partnership with Ring Central, Five9, the apartments where you're white label, basically any of the partners were there the lead in to a deal they bring you in, in the past, you've talked about how that's trending and trending well, you've been updated us on that and quantify anything for us. That'd be great. And then I have one other question.
Eric Yuan: Yes. Thank you, Jonathan. By the way, we have very good feature called what's your background, if you want to try.
Jonathan Kees: I'm still learning it, so maybe, I will confirm to stay in the background. Right now I have a couple home office.
Tom McCallum: I'm happy to follow up with you, Jonathan. Make sure you can get it. Not a problem.
Jonathan Kees: Ir/itsupport. Great.
Tom McCallum: Yes, and sales.
Jonathan Kees: And sales, okay.
Eric Yuan: Yes. Speaking of partnerships, taking Five9 for example. I think this year we'll achieve more because the two team we enjoy working together, right. So I know Rowan Trollope is such a great a leader. I think the more customers, they will allow you to hey, I want the deploy Zoom Phone, I also want to pick up a contact center solution Five9 is great, the partner and along with some other contact centers and partners as well. In Ring Central, they were all very good partner over the past several years. And today, I think they're pretty smart, partnering with the best way to service. And that's why we build solution for them, which is really central meetings, that partnership really have a residential in terms of becoming the unified communication, marketed leader because they have a best with the confidence service. However, I think from our perspective and we would like it to really look at our customer and look at what's the best experience we can offer. And as this trend over the past several years, they tried to build their own way to conference solution. I don't know how good that is solution is, but we are focused on our customer experience. And in terms of revenue from any of our customers is relatively small, right. On customer, we would like to deploy a unified solution from other vendor from us. We do voice the same architecture, same thing first, and you will see more and more overlap. It will be just Zoom and Ring Central, in particular after they announced they are, we do conference service and I'm pretty sure that experience is not as good as Zoom.
Jonathan Kees: I'm sure. I'm sure. And then, if I can, I guess it's more out of curiosity, you've already talked about your headquarters employees working from home cause COVID-19. You have most of your sales, the direct sales and field reps are knocking on doors. I guess are you seeing a impact there and are you going to change the strategy there or is that what you're doing with like channel and getting others to start selling for you? Thank you.
Eric Yuan: I don't see we are going to have any impact whatsoever. The reason why our sales rep, proved accretive and we also support video background. They should follow a video in office and user with the back on, I don't know where they are. And seriously, I feel like I stayed in the office and I would have seen that as no any impact. Probably even better because you can see the commuter time, from where they live to office probably they should have increased the quota for them. I think, I'm kidding.
Tom McCallum: Well, Eric, I think that's the last question. Matt, is anyone else out there?
Operator: That was our last question.
Tom McCallum: Great. Do you want to have some closing remarks and just thank everyone, Eric?
Eric Yuan: First of all, thank you all for your time. I really appreciate for your support and we will do all we can to deal with a much better service to serve our customers well. Thank you.
Tom McCallum: Thank you everyone.
Kelly Steckelberg: Bye everybody. Thank you.
Tom McCallum: Appreciate it. Thank you.